Operator: Good afternoon and welcome to the Research Frontiers Investor Conference Call to discuss the First Quarter of 2025 results of operations and recent development. The company will be answering many of the questions that were emailed prior to the conference call either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to email questions prior to the call or will do so afterwards. In order to answer more questions of general interest to shareholders on this call. Some statements today may contain forward-looking information identified by words such as expect, anticipate, and forecast. These reflect current beliefs, and actual results may differ materially from those expressed due to various risk factors including detailed in our SEC filings. Research Frontier assumes no obligation to update or revise these statements. Today's call is in listen-only mode with a Q&A session to follow. [Operator Instructions]. The call is being recorded and will be made available for replay on Research Frontiers' website at smartglass.com for the next 90 days. [Operator Instructions] I will now turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thank you, Erica, and hello, everyone, and welcome to our first quarter of 2025 investor conference call. Let's start with our financial results. I'm pleased to report that the first quarter of 2025 marked another strong period of revenue growth and momentum for Research Frontiers driven by increased demand for SPD-SmartGlass, particularly in the automotive sector and also in the aircraft sector, with growing interest in new projects in the architectural market. Our royalty revenues in Q1 2025 were up over 79% to $560,000. This was an increase of more than $246,000 over the first quarter of 2024. Also, significantly, royalty income was up 214% or up $382,000 sequentially from the previous quarter, Q4 2024. This increase was primarily the result of higher royalties from the automotive market, up 128% compared to Q1 2024, and up 267% compared to our previous quarter, Q4 2024. Revenues from the aircraft market were also up sequentially in Q1 2025 compared to the prior quarter, Q4 2024. And we expect revenue in all market segments to increase further as new car models and other products using the company's SPD-SmartGlass technology are introduced into the market. As a consequence of these factors, our net loss was $177,687, or $0.01 per common share, for the three months ended March 31, 2025. And this was $265,000 or 60% lower than the first quarter of last year. Turning to our financial condition and liquidity, we continue to manage our resources effectively. As of March 31, 2025, our cash and cash equivalents stood at approximately $1.4 million, and our working capital was approximately $2.3 million. We continue to be debt-free. Based upon our current operations, we believe our current cash and cash equivalents would fund our operations for more than the next five years. We do not need to raise capital at this time and do not anticipate doing so unless there's a strategic reason to do so. We continue to see progress and significant developments across our markets. Our SPD-Smart technology is currently licensed or used by many major companies serving five major application areas; aerospace, architectural, automotive, marine, and display products in almost every country of the world. I've been asked about other technologies being used. You know, when I first joined Research Frontiers, the head of LBNL Laboratories, in charge of the Smart Window Project, told me to keep an eye on two companies who are the most advanced in the world; Asahi and Isoclima. At the time, both were focusing on electrochromics, a competitive technology to SPD. It's telling that both are now active licensees of ours for SPD-SmartGlass. You know, along the way, many other companies became, frankly, roadkill on the side of the Smart Glass road. Some crossed over to us, like Asahi and Isoclima. Some asked us to bail them out, I won't name names and some stubbornly stuck to losing technologies with the hope of breakthroughs and miracles that have eluded them for decades. Two companies in our industry filed for bankruptcy this past year, View and Helio, while another has gone relatively quiet in the market and has yet to come out with even a rudimentary smart product. Throughout these industry challenges, Research Frontiers never wavered from our mission. Our success stems from having the best-performing Smart Glass technology paired with a low-risk business model that preserves their upside while encouraging diversification and a robust global footprint. A recent example of the benefits of our approach was highlighted in Gauzy's recent press release about the lack of any meaningful impact of tariffs on their business. This is something I had also indicated with our business on the last conference call in March. We received a number of questions about this that were emailed to us. This also further demonstrates the logistical advantage of our film technology. It also certainly reinforces the strength of our business model and of the strategic partnerships we've built. We've spoken in the past about key developments in the automotive market. Royalty increases in this sector were a major driver of our Q1 growth. We continue to see significant momentum in automotive, with new car models expected to be introduced in 2025 using our SPD-SmartGlass technology. Q4 saw the introduction of the SPD-SmartGlass for the Cadillac CELESTIQ, and Q1 2025 showed somewhat higher sales to Cadillac. The production call-outs by Cadillac point to significantly higher royalties from GM in our current second quarter of 2025 as production ramps. Similarly, we had strong sales from Ferrari in Q1 2025 and expect strong sales from Ferrari for the current quarter, Q2 2025, based upon their production call-outs to our licensee. Also, I think everyone was pleased to see from our press release in April, and also Gauzy's, that Mercedes is back in the picture with their luxury van that debuted at the Shanghai Motor Show. What's unique here is, one, that it is in an area other than the sunroof, and two, it is unique in that it uses in the side windows a combination of SPD PDLC on 75% of the van's glass. Now, let me take a question that was emailed to me from Mr. Erdman. What is the advantage of a dual-stack Smart Glass combining SPD and PDLC over SPD only? Well, SPD by itself works fine for shading and privacy, but when you want privacy with light coming in, and remember, we're dark in privacy, you might want to use a combination of the two. Also, in areas where you're projecting an image, it's somewhat more like a movie screen in a theater with PDLC, so it's a visual effect sometimes with displays that you want. That becomes less relevant, by the way, in a world where most of the displays are embedded inside the glass and things like transparent OLEDs, which is a very interesting market for us. On prior calls, I mentioned new car models in Asia, Europe, and in the U.S. These are still on track, and while I can't discuss the details yet, we have also landed another European car model to the mix since our last conference call together in March. Revenues from this are not reflected in our first quarter royalties. Yesterday, I received several email questions about the electrochromatic roof on the new 2026 Corvette, and I can't provide any details about that at this time. It's up to GM to decide to what extent they want to talk about this. In the architectural market, we're excited about the potential for growth. We have begun work on private projects utilizing SPD-SmartGlass. We're looking forward to the launch of the retrofit application, and our licensee in this area has projected a strong second half of this year. What we believe is a game changer for the industry is the retrofit application by significantly simplifying installation, reducing costs, and minimizing disruption while upgrading building envelopes to make them smarter and more energy efficient. And supplying government buildings is a very large opportunity, and regulatory support, such as the Dynamic Glass Act, which offers substantial tax credits of between 30% and 50%, should help the private sector adopt SPD-SmartGlass in buildings and homes as well. Jeff H. emailed me, what is Research Frontiers doing to tell a story, because it sounds like you have one to tell. Well, we certainly do. One thing is we've been working very closely, and that's increasing, with Gauzy to get the word out. They have substantial sales and marketing resources, and we coordinate with them. They're also quite good at social media and other digital marketing, and we coordinate with them as well on this, as well as business development. And we recently had some high-level discussions about doing even more together. We also know we needed to update our website, and we did more than that. It's been totally redesigned, and we'll be working on the final prelaunch steps this weekend and expect to go live by early next week. And I think you all are going to love it and find it a great tool for sharing information with others. By the way, our web address is smartglass.com if anyone wants to check it out or peek in maybe over the weekend. Several shareholders have asked about what catalysts we see for our company, our revenue, and our stock price. Jared asked, do you see a catalyst or a combination of price, performance, and availability that finally meets the value proposition, or does success remain out of reach? Well, I think that the steady improvement, Jared, that we made in the growing revenues and approaching breakeven while others in our industry have failed certainly means that we are on the right track and nothing is out of reach, and I'll talk more about this in my closing remarks later. But certainly, the catalysts are happening in terms of price, performance, and availability of the product. As I mentioned, we've included some of the questions previously sent in by our shareholders in the presentation today. And with that, I look forward to answering the questions that I've not already answered in the course of my presentation. And we ask that you keep your questions limited to questions of general interest. We can always talk about specifics after the call. And if you want to get into more specifics, you can do so by email or calls offline. I'll now ask that our operator, Erica, to open up the conference to any additional questions people participating today might have that we haven't already covered.
Operator: [Operator Instructions] Our first question comes from Frances Coturbo. Please state your question.
Unidentified Analyst: You didn't mention anything about the dark particle.
Joe Harary: Oh, yeah. Thank you.
Unidentified Analyst: Why do you define it as the Holy Grail? And number two, whatever it is available and it's used in various different products, will it be a combination of just the dark particle and PLDC, or will it just be the dark particle?
Joe Harary: Those are great questions.
Unidentified Analyst: When might it be available?
Joe Harary: Okay. These are all great questions, and I'll answer what I can. Also, we got similar questions from John Nelson and Mike White, so thanks for asking about the black particle. We announced together with Gauzy the black particle in January at the Consumer Electronics Show in Las Vegas, and we demonstrated a film using it behind closed doors to key people in the industry, and it was very, very well received. Since then, we and Gauzy have done a significant amount of work together on advancing it towards commercialization, and I hope to be able to share some very good news about that, but I think the way you're going to hear that news is we'll announce the final product is in production. You asked why is it the Holy Grail. Well, some of it is technical and some of it is aesthetic. The aesthetic would be that it's more of a neutral color. If you are not just looking through a sunroof, but let's say you're looking through a side window of a car, you may not want to see blue as much as you would through a sunroof where people are used to seeing blue sky. The other is technical. The reason that our current particle looks like a sapphire blue is because it blocks in all areas of the spectrum except one, which is the dark blue. So the dark blue in sunlight gets transmitted. That's giving it a blue color. If you can also block in the dark blue, then you're going to have far less light coming through. So while in the dark state of a current SPD, there's 99.5% of the light being blocked, that half of 1% is still coming through and making it look blue. If you're able to close up that gap, it's going to look opaque. So you wouldn't see any image or any colors through that. You asked about would it be used in combination with PDLC. It depends on what you're trying to achieve. For the most part, SPD by itself or PDLC by itself are good at achieving privacy. Maybe there would be a slight advantage in the black with more privacy, but not a meaningful amount where it would be the reason you would go black versus blue. If you recall the question I answered earlier, with PDLC a lot of times it's when you want to have privacy with light coming through because PDLC doesn't block light, it scatters it. So it allows light to come through, but it does achieve privacy. And it does have some advantages in terms of getting that movie theater type screen look when you're going for that in a display application. But for the most part, I think a black would be a significant development in the industry. I think that it would give architects and designers the ability to have a more neutral color, and I think that would be useful, especially in things like vertical windows on the side of cars or buildings. I think other than the timing issue, which I can't answer at this point, I've answered that. But if I forgot anything, let me know.
Unidentified Analyst: Has there been any projects that have been put on hold waiting for the commercialization of the dark particle?
Joe Harary: No, but it's certainly an improvement in performance. We always are striving for better and better performance.
Unidentified Analyst: The upcoming shareholders meeting, is that going to be open?
Joe Harary: It's open to everybody, and it's open to everybody to attend. It's at Research Frontiers. Ever since we've started to do quarterly conference calls with investors, it used to be that the annual meeting was the main opportunity to get a report on the operations of the company. Given the fact that it's only a few weeks away, the different quarterly calls are really where we've chosen to give more fuller updates. It's probably mostly going to be an administrative meeting where directors are elected and the agenda items are put up for a vote, but it's not going to be one where there's going to be a new report unless, of course, something happens, in which case we'll announce it regardless of whether there's an annual meeting or not. But everyone is encouraged to attend, and please vote. It's important to vote.
Unidentified Analyst: Do you have any products to demonstrate there?
Joe Harary: We have a whole design center here, so if you're in the Woodbury area and you want to see some really cool smart glass that's operated by Amazon Alexa or automatically through sensors or through a whole variety of things, you're welcome to come and experience that. But you don't have to wait for the annual meeting. Come any time you want. I'm here.
Unidentified Analyst: Do any of the products have the dark particle?
Joe Harary: No, we're not showing that until it's commercial.
Unidentified Analyst: Okay, thanks.
Joe Harary: Except to people that are developing products based on it.
Unidentified Analyst: Okay, thanks.
Joe Harary: While I'm at it, there is another question from John Nelson. John, by the way, I appreciate the fact that you've substantially increased your ownership even beyond what's listed in our proxy statement, so thank you. Your question was, are you seeing any effects of the U.S. trade tariff policy on your business? Are there any changes in strategy because of this? And I think we went into some detail last conference call about how the premium market is not really affected, so Ferrari is not really affected by this. Rolls-Royce today got some sort of relief from the U.S. on tariffs. I think Trump made the point that you're probably not going to build a Rolls-Royce factory here in the United States, so we'll give you a break. But for the most part, volume manufacturers are going to deal with the tariff situation, and it looks like they're all negotiating for reasonable trade deals. It hasn't really affected us, and I think more specifically, if you look at the announcement that Gauzy made in April, they said that it hasn't affected them either, and it's because we all have worldwide footprints. It's not like we're really isolated and only exporters or only importers of product. We have a presence all over the world, and that's been helpful, especially in a world of tariffs.
Operator: Our next question comes from [Leonard Letso] [ph]. Please say your question.
Unidentified Analyst: Hey, Joe. I have a question. You mentioned that one of the areas would be the display areas, and I know you've been working with LG and all of that sort of thing, and I'm just wondering, is there anything that is going to come soon in that area?
Joe Harary: Well, I guess the best way to answer that without directly answering your question, because I don't want to speak for LG or for the customers of their product, but there's been a lot of public visibility, especially in the area of train windows, in terms of embedding OLED displays inside of windows, and I think if you just look in general at what's been happening, let's just take the Cadillac sunroof. It's a four-quadrant sunroof, and it has all sorts of things embedded in there besides SPD, such as LED lighting and other things. So the glass itself is becoming more functional as part of the car, and I think you'll continue to see that trend with OLEDs combined with SPDs so that you can get really good displays and good information projected -- well, not projected, presented on glass surfaces, and that extends to things like heads-up displays, too.
Unidentified Analyst: Okay. Thank you for that. I also noticed that in heavy equipment, it's being used in the windscreens and that. Is that a trend that means visors are not going to be needed inside of most cars?
Joe Harary: Yes. You're beginning to see things happen in that shade band above the AS line on your windshield, and you mentioned also heavy equipment. A lot of construction equipment has a lot of glass, and they become ovens, and you can't schlep around huge air conditioners in your harvester or whatever. So being able to control the heat coming in with the glass doing the work becomes very significant. So, yes, I expect these trends to continue. And, you know, Gauzy's subsidiary, Vision Systems, has always been on the forefront of that market with specialty equipment uses for SPD as well as, you know, the bread-and-butter aircraft and boats and things like that and airplanes.
Unidentified Analyst: So we're very close to profitability now, so we'll probably cross over that by the end of the year.
Joe Harary: If we stay on the track that I expect, we can have a very good year.
Unidentified Analyst: Well, bless you, and I hope we get there.
Joe Harary: Okay. Thank you, Leon.
Operator: Our next question comes from Jeff Harvey. Please state your question.
Unidentified Analyst: I've got a couple of accounting questions. Under current assets, you've got a relatively receivable net of about $1.2 million reserves. What are the reserves for?
Joe Harary: Reserves are for once something goes over a certain level of time, we put a reserve in there. Some of that is very old, and some of it is also on receivables, just timing. At the end of the quarter, especially as our sales have ramped up, at the end of the quarter money is due, the licensee doesn't necessarily get invoiced or pay it until, a short period of time after that. So you're going to see at the end of every quarter, and that's going to become an ever-larger number as revenues grow something that's in transit.
Unidentified Analyst: Well, then under cash flows, you've got a royalty receivable of a negative $310,000. What's that?
Joe Harary: Say that again?
Unidentified Analyst: I said under a cash flow from operating activities, you have royalty receivables of a negative $310,000.
Joe Harary: Yes, basically you would add that back in.
Unidentified Analyst: You'd add that back in. Okay.
Joe Harary: Right.
Unidentified Analyst: Sometime last year, in fact, you and I had talked about this, had announced that they were talking about 50,000 cars a year. What's happened to that? Is that still on track?
Joe Harary: That 50,000 car per year was not an SPD project. As far as I know, it's still on. No, they have things that are much larger than that for SPD that are on track, though. I'm not allowed to talk about that. Sorry.
Unidentified Analyst: No, I understand. You're still on track for the new Asian car model that you had talked about?
Joe Harary: Yes, as I said earlier, we've mentioned in the past an Asian project, a couple European projects, and a U.S. project, and they're all on track. And then since then, we've added another European one. So between the early March call and the early May call, we've actually added another project in Europe.
Unidentified Analyst: Yes, and you brought up a good point today, and I hadn't thought about it, but companies like Caterpillar and Deere make a lot of equipment where the guy is going to pry inside. I would think that would be a really good market for this. I hope Gauzy or somebody, I mean, do you have any other company that helps you market this stuff to companies like that?
Joe Harary: Sure. Every one of our licensees is marketing their products through their sales and distribution network. Gauzy happens to have a very large footprint in all the major areas of the world. But they bought Vision Systems, and Vision Systems was doing that work for the specialty equipment market quite successfully. So things like container handlers at ports and things like that also use a lot of glass. They're huge cranes.
Unidentified Analyst: Is there anything in the works where potentially one of these companies is going to adopt SPD for this?
Joe Harary: Oh, sure.
Unidentified Analyst: Okay. Because it makes a lot of sense to like any of the --
Joe Harary: It does. Yes, it does. Yes, and those are things where they're workhorses, so you can't sit there and put a huge air conditioner in there and take up all your cabin space. So that's where the glass becomes important.
Operator: Our next question comes from [Mike Kay] [ph]. Please state your question.
Unidentified Analyst: Oh, it could be better. I just want to comment on something you said regarding having people being aware of Research Frontiers. I read all of the Gauzy reports, and even if Research, even if SPD is used in one of the Gauzy products, it's very deep inside. And if you want to make the investment community aware of Research Frontiers, I respectfully submit that you cannot rely on Gauzy. They have their own agenda, and in their press release,. So if you ask most people, they would know that Research Frontiers is connected to SPD and has all these applications. So I feel you should consider, given the fact that the company has no debt and seems to be on the cusp of being profitable, to hire a decent investor relations company to make its story known to the investment community. Gauzy has a lot of other things to do than to try and publicize Research Frontiers. Okay. Also, I'm not clear, Joe, and I know you could elucidate, and I follow this quite closely, regarding tariffs, that when the tariffs go through, it's going to make the, if you have a tariff on parts of cars or cars themselves, that it's going to significantly increase the cost of the product, whatever the product is. And now if you want people to add SPD to it, that, of course, will be an additional cost. So am I correct in your saying that the tariffs will not have any significant effect on the sales of various kinds of automobiles?
Joe Harary: Yes. What I said last time on the conference call is that typically if you're talking about a price-sensitive market, like, mid-level cars or below, it might have some impact, but I don't expect that to have any practical impact on our revenue in that market. And also these Asian cars are sold in their home market primarily, so it's not like they're going to be affected by U.S. tariffs. In the premium market, take the Ferraris and the Cadillacs, it doesn't make a difference. People are going to buy them, and it's not going to matter. I think Ferrari announced a 10% price increase. I don't think anybody canceled an order because of that. So I think that. And then the other thing is just understand that because we have a worldwide footprint, that also helps too. And if you look at how some of these trade deals are going, Michael, you look at U.S. content of cars, for example, and they've gotten some relief. Well, we're considered a U.S. content component of a car.
Unidentified Analyst: Right. Yes, that's right, because if people could.
Joe Harary: Well, because we're here, Gauzy is here, and all the glass companies have facilities here. So it's not like, it's not as dramatic as some of the things where you have to build, a $500 billion chip factory in the United States. That production is already here.
Unidentified Analyst: I see, yes. And if people have enough money to buy a Rolls Royce or a Ferrari, these premium cars, a few thousand more isn't going to make much of a difference to them. But what I really had in mind, and you once said this is really where the revenues are going to come from, would be from the low price or mid-range types of automobiles, especially if --
Joe Harary: Well, that's where the volumes are coming from. I'm not saying that's where our profits are. And certainly within the time horizon that I'm looking at for this, it's not going to impact things.
Unidentified Analyst: And are the Sun Visors, what's the status of that? When will that be available?
Joe Harary: Well, I'm not going to pre-announce what customers are doing. So I think you just have to wait on that. Some of them will be built into the car and some will be aftermarket items.
Q - Unidentified Analys: Okay.
Joe Harary: I think, Michael, I think we, in the interest of time, we need to move on because there's other people in the queue with questions, but we could talk offline. We could talk offline.
Operator: Our next question comes from [Todd Brady] [ph]. Please state your question.
Unidentified Analyst: Hi, Joe. Todd Brady here. There's some kind of a trend going on where you have text, but a lot of the manufacturers and their display people, they now want to have that text converted to speech. So you have text and speech combined. Do you see any of that developing? And can you expand on it?
Joe Harary: Well, not directly with SPD, but my windows in my office here in Woodbury I could talk to and tell them to clear up or darken, and they do. So voice control is something very, I think very important, especially for safety and driving. So there's been a lot of work done there. But, yes, it's pretty easy for us to whatever is developed there would work with us.
Operator: [Operator Instructions] We have a follow-up question from [Frances Coturbo] [ph]. Please state your question.
Unidentified Analyst: Thank you, Joe. One last question. Are there any prospects of anyone else manufacturing the emulsions in film other than Gauzy?
Joe Harary: I'd rather not comment on open call. We always get interest from companies that want to expand into SPD, and, you know, that's a bigger strategy. Right now we're very happy with the investment that Gauzy has made in terms of expanding production worldwide. They significantly invested in the SPD facility in Germany and in establishing sales and marketing arms throughout the world and then increasing emulsion production both in Israel and in other areas of the world. So they're doing exactly what a good partner, they are for us would do, and that's expanding and thinking long-term and cooperating and collaborating.
Unidentified Analyst: But the plant in Stuttgart, they're only capable of making 700,000 to 800,000 square meters of film? Could that be expanded?
Joe Harary: Well, they built in redundancy there, so they could actually have a line right next to the one that's there and double the capacity. But my guess, Frank, is that they are going to locate the next filmmaking plant somewhere else in the world that's closer to the major customer. So Stuttgart is near a lot of obvious premium car makers, but there's a lot of business in other areas of the world too, North America and in Asia where they may also locate it. I don't think anyone's going to locate it in China, but both for intellectual property reasons, but also for other reasons as well.
Operator: Our next question comes from [Charles Michaels] [ph]. Please state your question.
Unidentified Analyst: I wanted to ask about you mentioned the Dynamic Glass Act, but there really hasn't been much discussion about, like, office windows and what progress are we making on those sorts of products?
Joe Harary: That's a great question. So I think a very significant development in the SPD office window market is coming from the retrofit, and I mentioned that we expect the second half of the year to be much more visible there. If you think about an office, let's say you have an office and you want to make it smart. Well, if you're doing a traditional installation, you've got to get landlord approval, you've got to get permits, you've got to build scaffolding underneath if you're anywhere above the first floor so that, debris and glass and things don't fall on people that are walking by there. And it's very disruptive. You may have to move out of certain areas of your office while that kind of work is being done. Now let's flash forward to a world where there's a retrofit from the inside of the building. You don't need scaffolds. It's more like a Venetian blind or a shade where you don't need approvals, right? And you could come in over the weekend, and we've discussed the capacity to do this, and it's quite doable. And retrofit floors at a time without disrupting anyone's work. So we're very excited about that because it minimizes tenant disruption or occupant disruption, and it minimizes cost.
Unidentified Analyst: Yes. I think you make a good case for it, but I'm just wondering what about -- what's been the result in terms of purchases?
Joe Harary: We have projects underway. We have projects underway even without the retrofit application being finalized, and then we have the retrofit coming. So the progress is there are architectural installations, plus there's, I think what I consider a game changer, which is the ability to retrofit an existing window into an SPD-Smart window. It's not something other people can do either, so I think it's very meaningful in terms of competitive advantage that not only do we have the best performing technology, but I think we have the best delivery system for that to get it more easily into your home or office.
Unidentified Analyst: So who has to approve of this for us to be able to do these retrofits?
Joe Harary: Well, the customer has to want it, so just like any buying decision, it's the customer. But, you know, there's product development that goes into it that we're doing, and there's data generation, for the architects, so they know that if they retrofit a building, what are the expected benefits likely to be?
Unidentified Analyst: I see.
Joe Harary: All that's being worked on now. Thanks a lot.
Operator: [Operator Instructions]. At this time, we have no further questions. I'll turn it back over to your host for some closing remarks.
Joe Harary: Okay. Thank you. So if you believe in smart glass done right, stick with us and our licensees. They've already accomplished more with SPD than any other smart glass company in the world, and they have far more in the pipeline than ever before. As a company, quarter after quarter and year after year, we've steadily grown revenue, streamlined operations, and advanced our technology. The reasons for these positive results are easy to understand. We have a highly desirable and the best-performing smart glass technology in the world. By increasing revenues, managing our expenses, and preserving the best aspects of our asset-light business model, we're steadily moving towards being cash flow positive and profitable. Our Q1 2025 results demonstrate this trajectory. Royalty revenue is up over 79%, 214% if you are comparing us to the fourth quarter sequentially, and it's primarily driven by higher royalties in the automotive market. And this growth builds on our successful integrations of SPD-SmartGlass and vehicles from Ferrari, McLaren, Mercedes, and Cadillac. Mercedes' debut of their luxury van this past month also shows that SPD-SmartGlass and automotive is not just for sunroofs, but also has meaningful benefits in other areas of the car, such as side windows. There are also other unannounced projects in automotive out there that will also show this. And we expect revenues in all market segments to increase further as new products are introduced. We are excited about and continue to see significant potential in the architectural market, especially with the anticipated launch of the retrofit application. Regulatory support, such as the Dynamic Glass Act, which offers substantial tax credits, should further encourage the adoption of our SPD-SmartGlass in buildings. Our relationship with Gauzy, our licensee and strategic investor, remains very strong. We work very closely with them hand-in-hand on a daily or weekly basis on various projects throughout the world, sharing information and ideas in business development. Their SPD film sales are a very good leading indicator of our royalties, and their recent IPO this past June has brought greater transparency and resources to the industry, which should greatly benefit our entire SPD-SmartGlass industry. Research Frontiers and our shareholders also will benefit from that. And together, we are reinforcing the market position of SPD-SmartGlass as the premier smart glass technology and further expanding our footprint and capacity throughout the world. And I look forward to listening to their investor conference call this coming Tuesday morning. Financially, we remain debt-free with low and predictable expenses and are approaching break-even in profitability. Our strong cash position projected to fund operations for more than the next five years, and no debt means we are in a position of strength and do not need to raise additional capital at this time. The outlook for the smart glass industry remains extremely promising, and we stand at the forefront, leading this industry, driven by our superior technology, increasing demand and regulatory support, and continuous innovative breakthroughs. We are not just advancing the state of smart glass. We are shaping the future of how people experience what they see and feel through that ubiquitous material, glass. This coming year, based on the momentum and catalysts we see, we expect you to see even better results. We remain intently focused on execution, innovation, and driving significant shareholder value. Your support, dedication, and belief in our vision have been instrumental in our success, and we appreciate your trust and support in this exciting and important journey together. Thank you, and please remember to vote at our annual meeting coming up on June 12th. Thank you all.
Operator: This concludes today's conference call. Thank you for attending.